Operator: Good day and thank you for standing by and welcome to Casella Waste Systems' 2022 Second Quarter Earnings Call. At this time all participants are in a listen-only mode. After the speaker’s presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Joseph Fusco. Please go ahead.
Joseph Fusco: Thank you for joining us this morning, and welcome. With us today are John Casella, Chairman and Chief Executive Officer of Casella Waste Systems; Ned Coletta, our President and Chief Financial Officer; Jason Mead, our Senior Vice President of Finance and Treasurer; and Sean Steves, our Senior Vice President and Chief Operating Officer of Solid Waste Operations. Today is our 100th earnings call, which is a nice milestone for us. I can never sleep the night before these calls, , knowing that I get to read you one of the great works of English literature, but it is time to pass with the time for the next 100 calls. So joining us today as well, Charlie Wohlhuter, our new Director of Investor Relations, who will share with you the drama, the entry, and the raw honesty of the Safe Harbor statement. All years, Charlie?
Charlie Wohlhuter: Thank you, Joe. Today we will be discussing our 2022 second quarter results. These results were released yesterday afternoon along with a brief review of those results and an update on the company's activities and business environment. We will be answering your questions as well. But first, as you know, I must remind everyone that various remarks that we may make about the company's future expectations, plans and prospects constitute forward-looking statements for the purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the Risk Factors section of our most recent annual report on Form 10-K, which is on file with the SEC. In addition, any forward-looking statements represent our views only as of today and should not be relied upon as representing our views as of any subsequent date. While we may elect to update forward-looking statements at some point in the future, we specifically disclaim any obligation to do so even if our views change. These forward-looking statements should not be relied upon as representing our views as of any date subsequent to today. Also, during this call we will be referring to non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with generally accepted accounting principles. Reconciliation of the non-GAAP financial measures, to the most directly comparable GAAP measures, to the extent they are available without unreasonable effort, are available in the appendix to our investor slide presentation, which is available in the Investors section of our website at ir.casella.com under the heading Events and Presentations. With that, I'll turn it over to John Casella, who'll begin today's discussion.
John Casella: Thanks Charlie and thanks Joe for the first 100 earnings calls. Hopefully, Charlie will be able to bring the levity that you have brought to those calls as well for the next hundred calls. With that good morning everyone and welcome to our second quarter 2022 conference call. We're happy with our results and our continued execution against our key strategies. This was a great quarter, perhaps the best quarter in the company's history. And it came at a time with record inflation and certainly overall challenging environment. Our performance in the quarter was a product of our efforts in many areas, including strong operating initiatives focused on reducing our cost of service through productivity enhancements, further automation while never discounting safety. At the same time, our pricing and fuel recovery fees worked well to offset inflation, in fact we were fully offset – we fully offset higher fuel costs in the quarter and our continued execution against our strategic growth strategy as we are growing the business through acquisitions and select development projects while ensuring proper follow through on our integration efforts. Revenues and adjusted EBITDA were both up over 31% in the quarter as compared to the same period last year. Further on a year-to-year basis, we have driven adjusted free cash flow growth of nearly 23% year-over-year. Our core business continues to be a significant driver of this growth, while acquisitions are incremental. On the topic of growth, I would like to take a moment and recognize a significant milestone in the company's history. That is that we in our earnings announcement yesterday on a trailing 12 month basis, we've crossed over $1 billion in consolidated revenues for the first time. This is a significant achievement that I'm very proud of, but more importantly it would not be possible without the hard work and dedication of our entire team. Every day, our employees strive to be of service to each other and then to our customers. This is a commitment of our core values, will remain intact as we continue along our growth path. As you are all aware, inflation had not slowed through June, and we did a great job in overcoming these pressures. We continued to invest time and money into our operating efficiency programs to further reduce costs. Additionally, we aimed to pass along heightened operating costs to our customer base through our pricing programs and fuel cost recovery fees. Overall, solid waste pricing was up 6.9% in the quarter. We are executing at a high level as our core operating efficiency and pricing programs along with our fuel cost recovery fees are helping to offset inflation. We're maintaining a strong margin profile amidst a challenging backdrop. The underlying fundamentals of our business remain very strong and we anticipate year-over-year margin expansion over the remainder of the fiscal year. I'd like to take a – provide a brief review related to the execution against a few of our key strategies and the recent performance of our operations. First, as it relates to our landfill operations, in the quarter we experienced positive volumes and positive price. Landfill tonnages were up in the quarter as we had increased volumes after a tough winter. The economy in the Northeast remains strong. Our expectation is that landfill volumes will be positive through the remainder of the year with increased volumes remain focused on both our landfill operating and pricing programs. From a pricing perspective, we continue to improve the quality of revenue through customer mix. We measure this through our average landfill price per ton statistic and in the quarter it was up over 6%. Our pricing programs aimed to offset inflationary pressures and manage heightened regulatory costs. Moving to the collection business. We posted strong adjusted EBITDA growth and margin expansion year-over-year above budgeted levels. This achievement is twofold. We start the year with a concerted effort to reevaluate budgeted pricing programs given the environment. To date our core pricing is working well to mitigate inflation and our fuel cost recovery fee program is working well to recover higher fuel costs. From an operational standpoint, second quarter results demonstrate strong operating leverage. We improve key operating metrics both sequentially and year-over-year, while maintaining focus on sales and service excellence. As we look ahead, our goals and priorities remain the same. We have a continued runway in return driven operating and technology investments, including automation, route optimization and increasing the amount of in-cap technology across our footprint. Sean and his team are excited about the opportunity here. We are confident that they will help us continue to drive down costs as we further deliver on these operating initiatives. Next resource solutions, performance was strong in the quarter with significant year-over-year adjusted EBITDA growth. This level of growth came from a combination of new business, acquisitions, higher pricing, higher recycling commodity values, partially offset by lower tipping fees. Customer demand for sophisticated resource management services continues to grow. We are growing the business by meeting this need and helping our customers meet their sustainability goals. So we con – we welcome this demand as we aim to strike a balanced model in which we continue to invest in environmental solutions with appropriate financial returns. I'm excited about several ongoing and recent investments in this vein that highlight our commitment to environmental stewardship and sustainability. We are in a process or of upgrading our Boston Zero-Sort Recycling facility with new equipment, including select robotic technology. We expect this new equipment to be fully operational in the first quarter of 2023. This is nearly $20 million investment that will drive higher throughput, enhance end product quality and improve operating efficiency, which positions us well to meet the needs of the greater Boston market from a recycling standpoint. In addition to Boston, we have recently installed new robotics and sorting capabilities at our Ontario County recycling facility. Early results are showing strong efficiency gains further we intend to install select tech upgrades at several other facilities in the near future. Finally, I'd like to highlight our capital allocation and growth strategy. We continue to have success executing against our growth strategy. We have now closed on 11 acquisitions year-to-date with approximately $47 million in annualized revenues. The team continues to do a great job, maintaining a disciplined approach in terms of focusing on deals with the right strategic fit and return profile and ensuring that we complete integration to achieve the expected return. Of the 11 acquisitions, five closed since our last earnings call, including two in the second quarter and three in the month of July. Over the last year, our team has grown by roughly 25% and we are focused on ensuring that our new team members become a part of our culture quickly understanding and getting our core values, critically important part of the integration that we need to achieve on a go forward basis. Our M&A pipeline remains robust with over $500 million in revenues of identified opportunities over the top of our existing operating footprint in the Northeast and presents a continued opportunity to further grow the business and drive value. In wrapping up I'd like – I'm pleased with the performance thus far in 2022, we were operating at a high level and executing well against our key strategies. As a result, as announced yesterday, we are again raising guidance for 2022. And with that I'll now turn it over to Ned for additional financial details.
Ned Coletta: Thanks, John. I'd like to start by thanking our team for a great quarter, arguably one of our best quarters ever given the challenging backdrop of historically high inflation and rapidly rising fuel costs. Our team did an amazing job accelerating cost efficiency programs to help moderate inflation, realigning pricing programs to offset heightened costs and ensuring the eligible customers were on our fuel cost recovery fee program. This is a great testament to our ability to remain nimble in a dynamic economic environment. Moving on to the quarter, revenues in the second quarter were $283.7 million, up $67.8 million, or 31.4% year-over-year with 17% of the year-over-year change driven by acquisition activity and 14.4% of the change driven through organic growth. Solid waste revenues were up 26.4% year-over-year with price up 6.9%, volumes up 1.6%, acquisition growth of 12.1% and our fuel cost recovery fees up 5.3%. As expected, our price growth improves sequentially from the first to the second quarters. Revenues in the collection line of business were up 27.9% year-over-year with price up 7.7% and volumes slightly down. Revenues in the disposal line of business were up 22.4% year-over-year with price up 5.7% and volumes up 6.2%. As John mentioned, landfill pricing was up 5.5% year-over-year, but more importantly average price per ton was up 6.4% as we continue to improve mix at our site. After a slow start to the year, landfill tons were up 5.1% in the second quarter. With the strength in the second quarter, our volumes are now up for the year. Resource solutions revenues were up 45.7% year-over-year with 5.3% from higher recycling commodity prices, 3.4% from higher customer solutions price, 30.8% growth from acquisitions and the remainder from higher volumes and fuel cost recovery fees. Commodity prices were up again year-over-year in higher cardboard and mixed paper pricing, higher metals pricing and higher plastics pricing. However commodity prices did hit a nine month high point in April and have declined by roughly 20% from April through July with weakness across the board. Adjusted EBITDA was $68.5 million in the quarter, up $16.4 million, or up 31.4% year-over-year with roughly $10.1 million of the growth driven by improvements in our base business and $6.3 million derived from the rollover impact of acquisitions. Adjusted EBITDA margins were 24.1% in the quarter. This was flat year-over-year, but it was a strong sequential improvement in ahead of our plan for the quarter. Despite flat margins year-over-year, our pricing programs did cover cost inflation in the quarter. With overall price solid waste and resource solutions up 7.4% offset by a 5.2% headwind from inflation, excluding fuel, a 65 basis point headwind from our fuel cost recovery program, a 40 basis point headwind from acquisitions and the remainder associated with a shift in revenue mix year-over-year. Our fuel cost recovery fees are intended to recover higher fuel costs, which they did very successfully during the quarter with nearly 100% dollar cost recovery. However, since these are cost recovery fees, we did experience margin compression as fuel prices rapidly increased driving higher costs and higher fuel surcharges from third party transporters. Solid waste adjusted EBITDA was $58.8 million in the quarter up, $12.3 million year-over-year with strength in both collection and disposal. Resource solutions adjusted EBITDA was $9.5 million in the quarter, up $3.8 million year-over-year with improvements in recycling and industrial operations. With our SRA Fee for hauling customers and a processing fee or rebate structure at our recycling facilities that reset each month based on commodity prices, much of the year-over-year increase in recycling commodity prices was passed back to our customers in lower fees or higher rebates. Cost of operations in the quarter was up $47.5 million year-over-year, or up 140 basis points as a percentage of revenue with most of the increase driven by higher fuel costs. G&A costs in the quarter were up $4.4 million year-over-year or down 170 basis points as a percentage of revenue with most of this improvement driven by lower incentive compensation, accruals and lower labor costs. As of June 30th, we had $593.7 million of debt, $39.3 million of cash and liquidity of $311 million. Our consolidated net leverage ratio was 2.3 times. And our average cash interest rate was approximately 3.3%. Our balance sheet is in great shape and positions us very well to continue to grow while also providing stability in this rising interest rate environment. We had roughly 73% of our debt at fixed rates at the end of the quarter and our next debt maturity isn't until January of 2025. Adjusted free cash flow was $46.2 million year-to-date, up $8.6 million year-over-year with slightly higher capital expenditures more than offset by higher net cash provided by operating activities. As stated in our press release yesterday afternoon, we have increased our fiscal year 2022 revenue, net income, adjusted EBITDA; net cash provided operating activities and adjusted free cash flow guidance ranges. I won't read through them, but they are in the release. We increased our guidance ranges for the second time this year, mainly due to our stronger than planned pricing programs, continued execution against our operating efficiency initiatives, excellent cost recovery from our fuel recovery fee program and the positive contribution from recent acquisitions. We expect higher net cash provided by operating activities to be partially offset by higher capital expenditures, including continued investments into newly acquired operations, growth capital investments for new contracts and customers, additional investments to accelerate operating efficiencies, and unfortunately higher prices on certain budgeted capital items due inflation. As expected specific margin headwinds in the first quarter moderated significantly into the second quarter. And we remain confident in our ability to outpace inflation through the full fiscal year and improve adjusted EBITDA margins year-over-year. Our new guide has about 10 to 20 basis points year-over-year. Our internal rate of inflation is currently running at 5.2%. We expect to outpace this inflation increase adjust the EBITDA margins for the full year, and we expect margins to sequentially improve through the remainder of the year with margins up slightly in the third quarter and up more significantly into the fourth quarter. As we discussed last quarter, if inflation does increase further, we have great flexibility to advance additional pricing on roughly 70% of our collection book of business and our floating fuel recovery fee is now offsetting roughly a 100% of our cost. And with that, I'd like to pass it back to the operator for any questions. Thank you.
Operator: Thank you. [Operator Instructions] And our first question comes from Tyler Brown from Raymond James. Your line is now open.
Tyler Brown: Hey, good morning guys.
John Casella: Good morning, Tyler.
Tyler Brown: Hey Joe, I can't remember laughing out loud on a conference call, but I did. So thanks for that. On a Friday.
Joseph Fusco: My work here is done. 
Tyler Brown: I want to talk a little bit about your revenue complexion and what that may mean for pricing next year. Just big picture conceptually. So I think that there is this broad understanding that CPI length revenues will be set materially higher next year. But based on my notes and what you just said, I think, only about 30% of your revenues are restricted in nature, and only half of that is maybe CPI length, which is a pretty low mix between other players. But on the flip side, and you kind of talked about it, but you have a lot of residential subscription with freedom to price. So can you just talk about how that might play out next year? Because you won't get as much of that call it prescribed pricing help as maybe some others, but you also have this ability to push price as well.
Ned Colletta: Yes, there is really our book of business as you are well aware is more open market and not set in municipal contracts or franchise agreements. In fact, in our collection line-of-business, roughly 10% to 12% are municipal contracts. In landfills we also have long-term contracted work and through other lines of business as well. And as you look through that book of business, there is not a lot of them there directly linked to CPIU, we have many more of our contracts that moved to the trash and garbage index over time, or if they are linked to a CPI index many times they will be capped. So we don't expect on a certain date to have a lot of 9% price increases linked to CPIU. You should expect a blend that's more like in the 5% to 6% range where the trash and garbage index is and other price increases is. So, we're not staring down a set of resets that will blend our price up higher. However, with that all being said, I think, our pricing programs are working really well to help us offset inflation as John and I mentioned a few times, we've accelerated a number of cost efficiency programs, we’re pushing hard to try and strip costs out of the business to tackle inflation in that manner as well.
Tyler Brown: Yes no, that is extremely helpful. I appreciate that. But I do want to quickly go back over the margin walk as well. So I think I heard 65 basis point and I'm talking corporate margin, I think, 65 from fuel 40 from commodities, is that right?
Ned Colletta: Yes. So I'll just walk through that again. So last year we had 24.1% EBITDA margins, add to that 7.4% price blended between Solid Waste and our Resource Solutions group on a consolidated basis. Back off of that 5.2% inflation not including fuel. Then we had about 40 basis points of headwinds associated with acquisition as they are completed. As you are aware, they come in a little lower margin, it might take us a year to two years to drive synergies and work off that book of business. We had about 65 basis points, headwind from fuel. And the remainder was actually a mix shift in our book of business where we threw a lot of numbers out there, but our lowest growing part of our business actually in the quarter was our disposal part of our business. So re-blending to resource solutions and to collection just overall changed the margin mix down a little bit.
Tyler Brown: Down a little bit. And commodities were help or hurt?
Ned Colletta: Commodities, overall, well that's in that 7.4%. So I included there was 2% – 2.2% from resource solutions, which was part commodities and part actual pricing to our industrial customers.
Tyler Brown: Okay. Okay. So at a core level though, it sounds like margins moving in the right direction.
Ned Colletta: Yes.
Tyler Brown: Okay. And then, I am certainly no mathematician, but it looks like your implied second half EBITDA is only up slightly versus Q1. And typically it goes up, call it circa 20% and I'm probably rounding down. So is there just conservatism in the second half or am I missing something?
Ned Colletta: Well we're going to anniversary a large acquisition, Willimantic. We just did that on July 26, I think, it was the anniversary day. So that's part of it. We are also expecting some headwind into the second half of the year from recycling commodity prices. As you know, we give a lot of that back to customers, but it still has been a tailwind. And you know we're probably as always being a bit conservative. Every time you turn on the news, you're hearing something new about the recession. We haven't seen anything change in our volumes or our business yet, we're doing really well, our customers are strong, our business is strong. But I think we're just taking a moderate approach here.
Tyler Brown: Okay. Okay. And then, so John or Ned whatnot, I think, some news came out this week that MIRA and Connecticut is finally closing its doors. So I think it's a gold star on your camo map. Maybe it can go red. But was there any material amount of tonnage flowing into that plant or has it already been displaced? Does that tighten up that market additionally or do you think it doesn’t?
John Casella: I think that it is. It is certainly going to tighten up the market in Northeast 700,000 tons that will be displaced. A portion of it obviously has already happened, but just net-net it's clearly going to tighten up the already imbalance supply and demand of the Northeast disposal capacity, Tyler. So, it's something that we have been talking about a little bit, but it is actually happening and that is clearly going to impact the Northeast market.
Tyler Brown: Okay. So there is some tonnage that needs to find home.
John Casella: There is, and it will be a little bit fluent probably for a year or so before it all finds a home and settles down.
Sean Steves: Yes, without having the keying online yet we didn't directly source any of that waste because it is going to leave via rail, but it's taking up capacity and the whole network, and there is not a lot of homes for that much waste.
Tyler Brown: Yes, maybe my last one is on the McKean. So, I mean, it just feels like capacity keeps grinding lower in the market. It seems like local governments are frankly unwilling to permit additional capacity. So it just feels that waste-by-rail is going to become a bigger and bigger outlet for Northeastern volume. You talked about McKean. Can you just update us on where we are with McKean and when do you expect that to come online?
Sean Steves: Sure. So McKean we put our grant applications in place. We expect to hear on the grant application that we have in place before the end of the year. We're also anticipating that we will have our revised permit in before the end of the year and expect to see that permit acted on sometime the middle of next year and anticipate hopefully being under construction barring any delays on that permit, which we don't anticipate at this point in time. In at the end of 2023 for operation early 2024.
Ned Coletta: Yes, we've been working out long lead items as we speak as well.
Sean Steves: Yes. Once we have a sense of the grant, we may start looking at and have an understanding where we are from a permitting standpoint, understand where that's going. We'll start to, as Ned said, we'll start to look at the long lead items from a capital standpoint and start to act on that.
Tyler Brown: Not to be too specific, but will that CapEx run through your CapEx line or is it the short-line railroad that will make the investment? How does that work? And will you add that back to free cash in 2023?
Ned Colletta: Yes. So I think we need to do a little bit more work there. And we've applied for several federal grants to help pay for part of this infrastructure as John referenced. And they will be the grant recipient a local township there, but the capital will run through our balance sheet, our statement of cash flows with reimbursement funnel through a local town to Casella netting against the CapEx. And we'll have to get into details on timing if there is some timing differences between reimbursement of the exact level of investment. We're looking at doing this in stages. We do have the airspace is fully permitted at the site. We do have a valid permit for taking 6,000 tons a day via rail. And what John was referring to is some wetlands permitting and some adjustments to our daily intake volume permit as well.
Tyler Brown: Okay. Very good. Appreciate the time guys.
Ned Colletta: Yes, thanks Tyler.
John Casella: Thanks, Tyler.
Operator: Thank you. And one moment for questions. And our next question comes from Michael Hoffman from Stifel. Your line is now open.
Michael Hoffman: Hey, thank you very much. And Joe I've been there for all 100 of them and you get funnier every day.
Joseph Fusco: You have, and sometimes you've actually been on our side.
Michael Hoffman: That's true, Joe.
John Casella: Oh, my God we got to love it.
Michael Hoffman: There's always stories behind that too. So back to the landfill comment, mirrors closed, I mean, clearly the volumes all found at home, because it's not piling up on the street. Question is what's the permit at home? The bigger comment though, it's 700,000 tons has disrupted the market, the spot market again. Then spot prices have moved fairly meaningfully in the last six months as this was looming. So, the interesting question is, can you do more on your landfill pricing? Have you flexed it as much as it can be? It seems like you are in a really enviable position, 20 plus percent of the market getting permit for expansions.
Sean Steves: I think it’s clearly Michael, as the supply and demand continues to be negative; it's going to continue to increase pricing obviously. So I think that will happen incrementally over time. It's not going to be one fell swoop. But I think that it's the reason why we feel comfortable, that we've got a really nice runway for the next three to five years in terms of being able to [indiscernible] that we've got a really nice runway for the next three to five years in terms of being able to price very successfully at the disposal facilities.
John Casella: So we guesstimate, we've talked to the burners that Boston's renewal in 2024 is now potentially talking about a 130 to 140 number. If that's the case, it feels like then the simple math is just figure out how much it costs to drive out to your assets and subtract that from the 140 and you ought to be charging somewhere close to that. That you guys have comp price at five plus percent at the landfills for a while. Is there anything wrong with that logic?
Jason Mead: No. I mean, I think that obviously the higher the price goes at the burners, the more likely it is that the higher, the price is going to go subject to transportation differential, right, in terms of how far you have to go to the disposal asset. But again, I think, that it's clear if in fact your premise of pricing at the incinerator goes to that level, then it's likely that pricing will continue to be firm at the disposal facilities. And again, it's what gives us comfort over the next three to five years that we've got a nice runway.
John Casella: In the relief valve for these volumes is rail. And it has been, and we we're seeing as much as 25% to 27%, 28% of all waste being railed out of the Northeast today. And that's growing with each of these closures. And yes, we are opening up McKean, but the rail is capital intensive and it does generally cost more than our in market capacity to get to. So we've got a great positioning over time. And another really important expansion that we're working on is our Hyland Landfill in Western New York. And that continues to move along nicely. And we're excited about the opportunity to bring that capacity online in the next three to four plus years.
Ned Colletta: Yes. And just to remind everybody, that's 400-ish thousand going to a million is the opportunity.
John Casella: Yes, that's correct.
Jason Mead: Yes, that's correct.
Michael Hoffman: So, yes, we talked about this in May at the Investor Summit, but I view McKean both in offensive and defensive move, because you'll end up with the closest in rail access landfill. So the critical question is based on what you just shared on the prior commentary, you'll be up and running before Boston renews. And therefore you are in a position if that market does get driven there, that volume starts getting displaced incrementally to rail you are in a position to capture it, to leverage McKean.
John Casella: We're going to do everything that we can from affirmity perspective to try to move that as quickly as we can at this point, Michael. We've made the commitment, the team is fully engaged. We're – our grant application is in already. We expect to hear on that before the end of the year. So you bet, we're going to push to get it open as quickly as we can at this point.
Michael Hoffman: Okay. Shifting gears, the fuel surcharges that 100% directed picked up the indirect exposure, your third-party transportation?
John Casella: Yes. So historically we are just looking at direct expense and we had not ever had any third-party fuel surcharges passed through to us, but all low and behold, we clicked through a lot of thresholds in third-party transportation contracts and started to be levied pretty significant surcharges by third-party transporters in Q1 and to Q2. We've introduced a new fuel surcharge at our transfer stations that just went live in June. So we didn't have full recovery through the period, but into Q3 we will with that new fee that's seeking to pass that back to our customers any surcharges charged to us.
Michael Hoffman: Okay. And so speaking to questions about margins, the guidance, the $30 million of revs feels like two-thirds of that's probably fuel and a third of its outright. Therefore these two observations, one that's $20 million worth of dilution to the margin, but the other is the EBITDA upside the incremental margin is compelling because it's $10 million of growth and $6 million of EBITDA?
John Casella: Yes. You're 100% right? So we upwardly adjusted revenue guidance by $30 million from our last conference call to today and of the upward revision, $20 million of it was associated with higher fuel surcharges, which are really just pass troughs. And as we look at that, the last $10 million has some really nice beneficial margins because there's really no additional EBITDA being generated on fuel surcharges. So we raised our revenue guidance by $30 million. We raised our EBITDA guidance by $6 million, 20 of the revenue guidance is associated with fuel. So you kind of $10 million of revenues increase $6 million of EBITDA. So we're doing a really nice job on cost efficiency programs, really nice job on pricing programs through the business.
Michael Hoffman: Yes. I mean, it should go unsaid. That's 60% incremental margins. That's pretty, pretty impressive.
John Casella: Yes.
Michael Hoffman: Switching gears to incentive comps down, you're beating your number...
John Casella: I'm surprised Sean, didn't say something about how well he's doing from an operating field.
Michael Hoffman: Sean seems very quiet for his first call.
John Casella: I think the great part about it is, as we do have still quite a bit of runway in terms of fully automating trucks route optimization, getting computers and trucks, Sean's made great progress there to help really lower our costs to contribute to the overall situation. We find ourselves from a market perspective, but we've got – we've got runway there too in terms of continuing – continue to drive costs down.
Michael Hoffman: Got it. And then on incentive comp it's down, that's confusing if you're beating your numbers. So are we going to get an accrual adjustment in the fourth quarter?
John Casella: No. It is just down as a percentage of revenue. So it's actually kind of an interesting period where we've seen revenues escalate on fees, which are causing a re-blending of some of our income statements. So there's no like big shift there. We actually had a little catch up in the second quarter because bonus accruals were being adjusted higher, but as a percentage of revenue year-over-year it's down because we have revenue so dramatically.
Michael Hoffman: Got it. Okay. And then lastly I know why you adjust your free cash flow and presented in that manner. When do you anniversary the need to do so where you stand on the backs of just cash flow from ops less all capital spending?
John Casella: It's a good question. We started doing this several years back just to give additional visibility into larger items and we've fully anniversary our 30-year infrastructure investment at Waste USA, which has been very successful. What we're excited to be into the new capacity there and that was a pretty unique event. Southbridge, we're getting down to the end of a very long process with mass GDP to get that site closed. And that will come off here very shortly. And then the last item we give visibility to is on acquisitions. And frankly, we – when we pro forma acquisitions we're typically trying to get new trucks, facilities, integrations done as fast as possible and we'd like to give visibility on that. These are all items that were part of the pro forma but we feel like it's a good, good way to give investors additional visibility on how we're investing CapEx
Michael Hoffman: Fair enough. But the industry and you all have become serial acquired, so it's a cost of doing business. So in reality the underlying cash is, I mean, it I get the other two are anomalous things, but the other is sort of a recurring event of as long as your M&A.
John Casella: Yes. It is more meaningful for us because we're much smaller than the peers. So it's much more meaningful, I think to us than it is to them.
Michael Hoffman: Great. So last one, John, when do you get to $2 billion?
John Casella: Ned told me he's going to – it's not going to take as long as I took to get to $1 billion. So Ned said, I think it's probably within a couple of years, I don't know. Only kidding. We have had that conversation though. It's funny because he said – he's definitely said it's not going to take as long as it took me to get to $1 billion. So...
Michael Hoffman: Very good. Well, congratulations on that and have a good rest of the day.
Ned Coletta: Thank you, Michael.
John Casella: Thanks Michael. Appreciate it. Thank you.
Operator: And thank you. [Operator Instructions] And our next question comes from Sean Eastman from KeyBanc Capital Markets. Your line is now open.
Sean Eastman: Hi everyone. Nice quarter. Thanks for taking the question.
John Casella: Hey Sean. Thank you.
Ned Coletta: Good morning, Sean
Sean Eastman: Good morning guys. Just quick housekeeping one first. I might have missed this, but what's the updated solid waste price and volume embedded in the new revenue guidance?
John Casella: Jason you want to take that?
Jason Mead: Yes. Sure. Hey John its Jason. So as you're aware, original solid waste price guide for the year was 4.5% to 5%, and as we're looking over the balance of the year given the strength of our pricing programs to date we have upwardly adjusted our solid waste pricing metric and expectation to roughly 5% to 6% for the full year with some opportunity of course, based on the overall inflationary environment to go back out and advance more pricing if needed. So we'll continue to monitor and assess that situation. On solid waste volumes we initially guided 1.5% to 2% for the year and we've taken that back a little bit as we have seen slightly lower volumes at our transfer stations, as well as a little bit lower than expected volumes across our collection operations mainly due to customer due selections. So we're improving the quality of revenue via both our pricing programs as well as some of our routing efficiency programs. And with that we've deselected some unprofitable business, which is a really good story. So we're kind of okay with sitting at an outlook of 50 basis points to 100 basis points off solid waste volume growth for the year.
Sean Eastman: Okay. Very helpful. And then just coming back to the comments about the flexibility to advance additional price in the year, I mean, what is the – what is the big cost bucket variable that that we need to be thinking about there. Is it really labor and wages? I know you guys were tracking how the labor market would tighten up into the summer months, but just wanted to get some color on what you're really monitoring there?
John Casella: Yes. Right now, I mean as you said earlier, overall core inflations around 5.2%, which is up sequentially from the first quarter, which is around 4.5%. So inflation start continues to creep into many categories from parts to outside maintenance, labor spend more stable over the last six to nine months. But one thing that doesn't flow through the income statement, but there is real inflation is capital expenditures from liner materials, that landfills, to trucks, to containers...
Jason Mead: Everything.
John Casella: Everything that's running through there. So while that's not running through the income statement, the important area that we're cognizant of and we're looking at our pricing programs around as well to make sure what we're covering that and we're ensuring we generate the appropriate returns on assets that are going on the ground.
Sean Eastman: Okay. Interesting. Interesting, and then – and then part of the CapEx guidance raised was accelerated operating efficiency investments. Is there something new or interesting to note there, and I'd be curious just more broadly, how we should think about the annual efficiency gains you guys are targeting this year and sort of what's contemplated in the longer term outlook from an efficiency gain perspective?
John Casella: So our most important efficiency gain programs right now are bringing online our Routeware on-board computing system. And we're through about 250 of our vehicles today out of 1,000 and we're trying to accelerate more into this year. It's a system that allows us to more help dynamically route trucks. It also helps us to more effectively capture what we're charging. It helps sufficiency for our drivers. It also helps with safety. We've got a great camera system on integrated in with, I think as much as eight cameras on, eight cameras and that's really been powerful for us as well in the street from a training standpoint and also when something's not our fault. So we're looking to accelerate that, we continue to work really hard on route conversions from rear load to front load or to automated robotics side load trucks. And we're driving that over a multi-year horizon. We're sitting about 45% of our fleet automated side load today and that's a regenerative opportunity because as we buy companies, they typically don't have automated fleets. So those are kind of our two majors. We've brought online a great tool in the last 12 months as Sean shepherded it. Our EasyRoute optimization package, which allows us to very quickly effectively optimize routes as we do acquisitions or as we grow into markets or just trying to gain efficiency. So the teams, those are kind of the three major building blocks of what we're focused on and these – none of these are like a one-year horizon, they're multi-year regenerative set of tools.
Sean Eastman: Very helpful. I'll turn it over there. Thanks guys.
John Casella: Thank you.
Jason Mead: Thanks Sean.
Operator: And thank you. [Operator Instructions] And our next question comes from Tyler Brown from Raymond James. Your line is now open.
Tyler Brown: Hey, I just got a quick follow up, but Jason, do you have what the revenue from M&A is in 2022 and then what is it in 2023 based on what we know today?
Jason Mead: Yes. So I'll start with the later first. So the rollover into 2023 from acquisitions closed in 2022 is about $12 million of M&A rollover next year. And then this year in terms of total M&A related growth both from acquisitions closed in 2021 and 2022 is about $88 million of revenues for the full year.
Tyler Brown: $88 million, okay. And then on Boston, so when that comes online, is that just a cost save? What I'm trying to figure out is what is the year-to-year EBITDA impact of Boston 2022 to 2023.
John Casella: Yes. So the Boston [indiscernible] will have a couple different benefits. One will be – will increase our throughput by about 35%. So initially we'll run less hours and have a little bit less operating expense associated with processing of each ton. And some of that will flow back to our customers in the marketplace, some will stay with us. And then over time they'll allow us to grow but right now as you can imagine, labor struggle...
Jason Mead: The other thing that we end up with there is higher quality.
John Casella: Higher quality.
Jason Mead: Higher quality material, which could impact positively revenues.
John Casella: Revenues as well, we'll have less residue coming out of the stream, so less materials that we're going to the landfill now can be recycled as well. And we'll have less labor on our line as well, which is a really big gain in this environment. That's a hard spot to recruit for and with the robots we're bringing online at several facilities, we're really seeing great quality of work. They're working very well. The cost profile is right, and it's allowing us to have a higher quality stream.
Tyler Brown: But is it an EBITDA hold this year that will get refilled, and then some?
Ned Coletta: Yes. So with that investment, Jason, do you know how much EBITDA it may add next year? I don't have the pro format open in front of me.
Jason Mead: We have to follow up on that one, yes.
Tyler Brown: Okay. Yes, I'll follow up on that one, but just on last one here, John, I'll just – can you update us on where we are in New Hampshire? Is there any updates on North Country and just maybe what the next steps are there?
John Casella: Sure. So we continue to move that process forward. We're looking at reducing the amount of Wetlands associated with the facility in terms of the taking. We're in the throes of going through that permit. There was a vote for zoning in Dalton that was turned down, I think is more obviously on the basis of people just not wanting zoning as opposed to a favorable vote for the Landfill. But nonetheless, it was a positive vote against zoning in the town. So we continue to move it forward. It's it no less controversial than it has been. But we're reducing the impacts. We still have a great project there and we'll continue to move it forward from a permitting standpoint.
Ned Coletta: And our North Country Landfill has four years of life and this fall, our first RNG facility will come online at the North Country Landfill, which we're very excited about. This is a project where we put zero capital dollars, but we get a share of the cash flows and revenues from the rent.
John Casella: And it's a spectacular facility. The doctor team who we teamed up with there has spent over $35 million putting that facility in place to create pipeline quality gas. So we're very excited about that project and that should be a real positive for North Country and the community.
Tyler Brown: Okay. And that's a help next year to cash flow [indiscernible].
Ned Coletta: Yes.
Tyler Brown: All right. Thank you guys.
John Casella: Thank you, Tyler.
Ned Coletta: Thanks Tyler.
Operator: Thank you. And I am showing no further questions. I would now like to turn the call back over to John Casella for closing remarks.
John Casella: Thank you. And thanks everybody for joining us this morning. We look forward to discussing our third quarter 2022 earnings with you in late October. And with that everyone have a terrific afternoon and a have great weekend.
Operator: Thank you everyone for participating, you may now disconnect.